Operator: Good day, ladies and gentlemen, and welcome to the Agenus Fourth Quarter and Full Year 2017 Financial Results Conference Call. As a reminder, today's conference call is being recorded. Now, I would like to turn the conference over to Jennifer Buell, Head of External Affairs and Communications at Agenus. Please go ahead, Dr. Buell.
Jennifer Buell: Thank you, and welcome to the Agenus Fourth Quarter and Full Year 2017 Financial Results Conference Call. Before I continue, I'd like to remind you that this conference call will contain forward-looking statements, including without limitation, statements regarding the Company's potential income stream, research and development and clinical trial and manufacturing plans and activities, the publication of data, the potential application of the Company's technologies and product candidates towards the prevention and treatment of diseases and the Company's plans to pursue its cell therapy portfolio through a separate business entity. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially. Reference to these risks and uncertainties is made in today's press release and they are disclosed in more detail on our recent filing on the U.S. Securities and Exchange Commission. These statements speak only as of the date of this call and Agenus undertakes no obligation to update or revise these statements, except to the extent required by law. All forward-looking statements are expressly qualified in their entirety by this cautionary statement. When evaluating Agenus' business and securities, investors should give careful considerations to these risks and uncertainties. As a remainder this call is being recorded for audio broadcast. Joining me today are Dr. Garo Armen, Chairman and Chief Executive Officer; Dr. John Castle, Head of Translational Medicine; Christine Klaskin, our Vice President of Finance; and Bruno Lucidi, CEO of AgenTus Therapeutics, Agenus' cell therapy subsidiary. During this call, Garo will provide a corporate update and introductions to expansion of our leadership team. Christine will provide a financial review. We will then open the call for questions. With that, let me turn the call over to Garo.
Garo Armen: Thank you, Jen. Good morning and thank you for joining us on our quarterly and annual update. We believe as a company that innovation and speed defines the presences and the future of immuno-oncology. Today, Agenus is set up to deliver on both of these. Now let me tell you some of the highlights and how we are going to do this. I will also review our accomplishments for 2017 and tell you about our plans for key developments during 2018. Firstly, last year, we launched our phase 2 combination trials of Agenus AGEN1884 which is our CTLA-4 antibody with Keytruda, Merck's PD-1 antibody. This is in patients with first-line non-small cell lung cancer. These patients are tested to have PD-L1 expression levels of over 50%. They represent a clearly defined patient population and a potentially significant commercial opportunity for us. This trial can lead us to our very first approval submission for our CTLA-4 molecule by the end of 2019. Secondly, we completed dose escalation clinical trials of our CTLA-4 and our PD-1 compounds. We reported pharmacological and biologic activity of our antibodies at major conferences last year. This year, we also launched a phase 2 combination trial of these proprietary agents in second line cervical cancer. This combination trial may also support a BLA filing as soon as 2020. Third, and very importantly, we advanced five novel immuno-oncology antibodies discovered and developed by Agenus last year. We expect to file INDs for at least three of these antibodies this year. The first IND filing will be our next-generation CTLA-4 designed to deplete Tregs and improve T cell priming. Depleting Tregs is critical to overcoming the limitations of current immuno-oncology treatments. Successfully depleting Tregs will expand the market for immuno-oncology treatments significantly by including many more patients and many more cancers. Fourthly, in addition to our next gen CTLA-4 IND filing, we expect INDs to be filed on two undisclosed bispecific antibodies. The first of these bispecific antibodies improves the tumor microenvironment for better anti-tumor immune response. The mechanism and rationale for this has been recently confirmed in a number of high-profile publications. We have developed a promising bispecific antibody which has shown potent activity via this mechanism. The second bispecific, depletes Tregs in tumor microenvironment but not in the periphery. This we believe is going to be critically important for enhancing the efficacy of cellular therapies, other immuno-oncology therapies, targeted therapies, chemo therapy and radiation therapy. Hence, we believe this antibody can have blockbuster commercial potential. Fifth, in connection to my earlier statement about commercial launch readiness, and our antibodies – for our antibodies in 2019 and 2020, we have supplied our clinical programs and achieved readiness with commercial supplied CTLA-4 through the capabilities and leadership of our Agenus west team. If you recall, we acquired this facility only three years ago and it has enabled us with our manufacturing capabilities today, while saving us money and significantly increasing our speed of manufacture. Sixth, we reported safety and immunogenicity of our first synthetic neoantigen vaccine AutoSynVax, which we also call by the way ASV. Combination studies of ASV with our own checkpoint antibodies are planned for 2018. Seventh, we launched AgenTus, our cell therapy subsidiary. We appointed Bruno Lucidi as CEO, advanced our pipeline and our proprietary allogeneic cell format and expanded our portfolio of proprietary phosphorylated targets which we believe could be key in targeting solid tumors. And eight, we completed a non-dilutive financial transaction of $230 million with HealthCare Royalty and royalties from GlaxoSmithKline, our QS-21 containing vaccines. This transaction netted us $28 million in immediate cash with addition of $40 million in contingent payments. Now, I will expand more on key activities we have planned for 2018. As I mentioned earlier, innovation and speed defines the present and the future of immuno-oncology today. We are set up to deliver on both. To innovate is not a one-time challenge. It must be continuous. It requires the engines and the internal capabilities to identify targets, generate high quality molecules, develop sale lines and manufacture products. And all of these need to be done rapidly. We have all these capabilities in-house with limited dependence on third-parties. All are critical to innovation and speed. For example, in the past two years, we took four antibodies and neoantigen vaccine from discovery to the clinics. We are positioned to advance another five novel antibodies into the clinical in the next 18 months. We expect to initiate our first triple-combination of proprietary vaccine with our own CTLA-4 and our own PD-1. Further, as you will hear from Bruno Lucidi, the CEO of our AgenTus cell therapy company, we expect to take our first cell therapy product into the clinics in the first half of 2019. Last year, our speed set industry records. We took our proprietary anti-CTLA-4 antibody from first-in-men into a combination study with Keytruda as a first-line treatment for non-small cell lung cancer in record time. We launched combination clinical trials of our proprietary anti-CTLA-4 and our own PD-1 antibodies and we are rapidly advancing both of these programs. To optimize our readiness, for commercial launch of our first set of antibodies, we expended and upgraded our manufacturing capabilities. We have recently produced commercial grade CTLA-4 and in the next three months, we expect to do the same with commercial grade PD-1. Our supplies of these materials will support our programs as well as programs of our collaborators. Over the past year, it has been clear that not all PD-1 antibodies are same. A number of PD-1s do not show desired pharmacology. We have published that our PD-1, AGEN2034 is an active PD-1 antibody with desired clinical activity. Separately, clinical data reported earlier this year shows that adding CTLA-4 to PD-1 expands response rate and durability of responses as compared to PD-1 therapy alone for many different indications that this has been tested. Third, we are validating our clinical strategy for combinations and in particular this combination. As mentioned earlier, we expect to file INDs for at least three of our four, five novel antibodies this year. The first filing will be our next-gen CTLA-4. Our scientists have discovered a novel mechanism that enhances the function of CTLA-4. This finding is expected to be published shortly in a peer review journal. With this feature, our CTLA-4 is designed to deplete Tregs and improve T cells, T cell priming rather as I mentioned earlier. Once again, depleting Tregs is critical to overcoming the limitations of current I-O treatments. Additionally, our bispecific agents selectively deplete intratumoral regulatory T cells as well as condition the tumor microenvironment. These compounds can address tumor escape mechanisms in solid tumors as well as hematological tumors like B-cell lymphoma which share common escape mechanism with solid tumors by the way. As mentioned earlier, our next-generation CTLA-4 and bispecific antibody programs are advancing to IND filings this year. Our position in antibodies, cancer vaccines, immune adjuvants and differentiated cell therapy programs along with our fully-integrated capabilities allow us the unique flexibility in delivering combination treatments rapidly and very importantly with optimal flexibility. Lastly, in 2017, we developed a high throughput genome wide genetic screening platform to identify additional novel immuno-modulatory targets and additional novel bispecific antibodies. Now let me turn to financing and partnering plans. A few words about our financial plans first. Top-tier banking firms with whom we have had previous relationships have approached us to gauge our interest in potential equity offerings. We have dis-heard any such considerations based on the level and the quality of partnership interest and the potential for near-term transactions. We think it is in the best interest of our company and our shareholders to concentrate on coming to closure on several of these transactions near-term. Turning now to our strategic transactions, collaborations are core to our strategy and will allows us to maximize value of our extensive portfolio of platforms and technologies. To that end, we have delivered on successful partnership so far with GSK, Incyte and Merck. In 2017, Merck announced the advancement of and undisclosed antibody under our license and research collaboration agreement resulting in a milestone payment to Agenus, we are eligible to receive up to $99 million of additional milestones plus royalties on worldwide product sales. In closing, let me say a few words about our expanded teams. We have expanded our leadership team. They include immuno-oncology experts like Tyler Curiel, who has – who was the first to publish on PD-1 mechanism. We added as I mentioned Bruno Lucidi, our newly appointed CEO of AgenTus Therapeutics, our cell therapy subsidiary. Bruno is currently in China meeting with interested parties and will provide an update on AgenTus right after me. By way of introduction, Bruno was the founding CEO of Idenix and the Chairman of Pharmasset, which were later acquired by Merck and Gilead for approximately $4 billion and $11 billion, respectively. Bruno brings extensive expertise in drug development and more than 30 years of experience in biopharmaceutical industry with a heavy concentration on cancer and vaccines. I am very proud of our team, the impressive pipeline and the capabilities we have built so far. With this, I will now turn it over to Bruno, who will provide an update on AgenTus. Bruno?
Bruno Lucidi: Thank you, Garo and Jane. I'm actually very glad to be leading AgenTus. Cell therapy has shown life-saving potential for patients left with no option and have created significant value for shareholders. However, currently adopted cell therapy have limitations as you all know, the ability is largely restricted to hematologic tumors, they have shown a major substancities and they also have manufacturing and logistical challenges and very high cost of production. We believe AgenTus technologies and capabilities can potentially address those limitations. First, our proprietary platform has generated high-quality T cell receptor TCR libraries designed to target solid tumors. Secondly, proprietary allogeneic formats can address manufacturing and logistical challenges thereby addressing scalability and cost. Thirdly, our proprietary library of phosphorylated agents is designed to optimize efficacy and improve safety potentially with an off-the-shelf mechanism. Most compelling is our unique advantage of access to de novo discovery platform, core capabilities in bioinformatics, structural and computational biology, molecular and cell biology and also importantly the pipeline of validated checkpoint antibodies and bispecific tumor microenvironment conditioning agents to rapidly develop first-in-class combinations with potential curated benefits to patients. We are advancing our lead programs patient collaboration. I believe that AgenTus has great potential to provide substantial value to patients and for our shareholder by advancing a pipeline of highly differentiated therapies and part of huge opportunities. I'm excited to lead AgenTus and our experienced and talented team, that we call our team. Now, I will turn over to Christine Klaskin to provide the financial update.
Christine Klaskin: Thank you, Bruno. Cash and cash equivalents were $60.2 million at December 31, 2017. Subsequent to the end of the year, Agenus received net proceeds of approximately $28 million from our royalty bond restructuring. For the fourth quarter, Agenus' cash used in operating activities was approximately $25.8 million compared to approximately $26.2 million during the third quarter, while our reported net loss for the quarter was $35 million or $0.35 per share compared with a net loss for the fourth quarter of 2016 of $26.1 million of $0.30 per share. Cash used in operating activities for the year ended December 31, 2017 was $94.2 million, compared to $80 million for the year-ended 2016. The company incurred a net loss of $120.7 million or $1.23 per share for the year ended December 31, 2017. This compares with a net loss of $127 million or about $0.46 per share in the same period in 2016.
Garo Armen: Thank you, Christine. Now, I think, I will turn it back to the operator for any questions that you may have.
Operator: [Operator Instructions]. Our first question comes from Mike King with JMP Securities. Please go ahead.
Mike King: Good morning and thanks for taking the questions. Sorry about the background noise. I wanted just to ask you, you know sort of how carefully you are going to be looking for the results of the CheckMate -227 study that will be coming at AACR in a couple of weeks to see if there is any requirement or maybe just prudent judgment to resize your study of AGEN1884 and pembro? That's the first question.
Garo Armen: So, the answer to that question is, we will be looking at it very carefully as we have to – with all of the previous trials, you know we have to define our strategy, clinical strategy specifically. Jen, why don't you expand on that?
Jennifer Buell: Thanks Garo. Mike, thanks very much for the question and I'll just reiterate that certainly we'll be looking out for these results. But I just wanted to remind you something we've spoken about before is we are taking our agent AGEN1884 on top of Keytruda. And an indication in first line ling where Keytruda is approved where patients are selected based on an approved diagnostic, thereby removing the regulatory and technical risk and ensuring a high probability of success. With the results that we anticipate, seeing now a host of data most recently coming out of ASCO TI, where our PD-1 is active. We see that CLTA-4 add on in lung and MSI-high colorectal cancer increases the response rate and the durability of response. We know that Keytruda has a 46% response rate in the patient population and we expect a significantly higher response rate with the add-on of our AGEN1884. So, we believe that we have the sufficient sample today, but we'll certainly be monitoring the competitive landscape as we go forward.
Mike King: Maybe you could talk about how you – you know what's a win for you guys? Is it both showing superiority, non-inferiority, if let say numerically advocacy wise you are a bit lower, do you, you know if then, but provide a better tolerability profile? Is that a win? I don't know if you can sort of discuss the various potential outcomes that favor you?
Garo Armen: So let me first take the crack at it. Let me tell you what is not a win? What is not a win is a marginal improvement on efficacy and marginal improvements on safety. That is not a win. What we are looking for in all of our trials is a significant delta with regards to efficacy. That is the foremost in our strategy, not just in the context of the first line non-small cell lung cancer trial, but in pretty much everything that we are doing today, hence, our preoccupation, our prioritization of combinations. Because with single agents, we do not believe that you will get to the kinds of outcomes that will differentiate us as a company and put us on a rapid commercialization timeline. Jen, do you want to add anything to that?
Jennifer Buell: I think you covered it Garo. Mike, I hope that addresses your questions.
Mike King: It does. We'll obviously look, as everyone else will be for Checkmate -227. I maybe wanted a quick follow up on the novel CTLA-4. Garo, I know you said it's going to be published in, so I don't know how much you can talk about in advance of the publication. But just in terms of the – figure out exactly what your words were as far as the improvement in activity is concerned, but should investors also be concerned about the potential for increase toxicity or adverse events.
Garo Armen: So, I mean with a new molecule, clearly you always, have to watch for what may be a hurdle in terms of adverse events. But just a couple of things on this; one, we cannot elaborate and give you more details on this compound and its activity, for both IP reasons as well as the fact that we have an upcoming publication, and we don't want to jeopardize that certainly. Having said that, Mike, as you know our research capabilities are quite expansive. We have the ability to design very carefully properties into molecules and generate these candidates also very rapidly in a way that minimizes these potential risks. You can never eliminate them, but the design of these molecules both the next-gen CTLA-4 as well as I-O bispecific antibody are to address both optimization of efficacy and minimization of side effect. Now as I mentioned before, for example, one of our bispecifics, dose intratumoral depletion of Treg. Now, this is a very important issue, very important issue because if you deplete Treg broadly speaking, yes you may risk other safety issues, but if you do it intratumorally, it gives you a big advantage. Hence we think our molecule is the best-in-class and the first-in-class to be able to do this effectively. Jen and John, if you'd like to add any more color to this, please?
Jennifer Buell: I'll just add one thing because I am really quite excited about this particular mechanism. At Agenus, we believe we'll be the first to publish on this mechanism. I think it may be something that we certainly engineered it into our antibody and it will likely change the way that antibodies are made in the future at least some of them. What we are looking for Mike, is to get to – we may be able to achieve an optimal pharmacologic dose at a lower dose than what we see with some of the current first generation CTLA-4. So again, as Garo mentioned, we will need to validate that in the clinic, but we are really quite enthusiastic about it and as soon as possible we'll make sure that you'll get visibility to that publication.
Dr. John Castle: As Garo pointed out, I think just reiterating the dual effect of both looking at the Treg depletion and also to increase priming is going to be very essential and so we are looking forward to that. It's going to be in the publication as well.
Garo Armen: Thank you, John.
Mike King: Great. It sounds exciting guys. And then just one other quick question on AgenTus, and apologies if I should know this. But just wondering what sort of timing you might want to talk about revelation of your – the first target or set of targets for your cell therapy? Thank you.
Garo Armen: I will let Bruno to address that question at his discretion.
Bruno Lucidi: For now, we are not disclosing any information about our cell therapy. We believe that we should be starting to disclose some information during the third quarter – during the second quarter this year, you know some time in May, June.
Garo Armen: Thank you, Bruno.
Mike King: Thanks for taking my question.
Jennifer Buell: Thanks Mike.
Operator: [Operator Instructions] And our next question comes from Matt Phipps with William Blair. Please go ahead.
Matt Phipps: Hi guys. Thanks for taking my question. I guess first, I was wondering if you could talk about your bispecific platform. Is this based off of single-chain variable fragments or maybe now then to whole for full size antibodies, anything you can disclose there?
Garo Armen: Okay. So, one thing that I can tell you is that we're not using their traditional proprietary platform. So we very carefully examined where our freedom to operate lies and engineered our bispecifics based on that and based on our ability to engineer the FC regions, as well as specifically target the relevant finding domain. We have become experts at doing this, and but unfortunately because of the fact that I can't even disclosed to you, which bispecific they are for reasons of confidentiality, our partnership discussions, as well as competitive reasons.
Jennifer Buell: Now I am going to add just one thing. We've had a chance to discuss this, the publicly available information on related to our approach. We have established a high throughput ability and capability to be able to identify optimal combinations. We have some research collaborations and exploiting those capabilities. And what that allows us to do is agnostically identify what are the best combinations to address an area of unmet need for a novel target development. And that's where we think the major differentiation is. We then moved to a platform that we know works and we know that has freedom to operate and it leverages parts of our own proprietary platforms that bring the molecules to life essentially if I may. But essentially, for us that critical feature is the optimal combination that actually creates that novel molecule and less so that's the bispecific platforms.
Garo Armen: Thank you, Jen.
Matt Phipps: Thanks. So now moving on to, I guess non-small cell. Has AGEN1884 completed dose escalation with Keytruda at this point?
Jennifer Buell: Yes, it has, and completed dose escalation.
Garo Armen: So we have picked the optimal dose and the dosing regimen.
Matt Phipps: And so how many patients do you think will be needed to generate a margin of data set to go to the FDA in this biomarker defined patient population?
Garo Armen: Okay. So based on our concerns about competitive reasons, and also with our assumptions for this trial, when Mike earlier asked the question of what do we consider success or what will be considered success, a significant data – delta rather in benefits which we haven't disclosed. So, if I give you the patient numbers, one can work backwards and figure out what that delta is and we don't want that to happen for competitive reason. That's one of the reasons we will be quite on this.
Matt Phipps: Okay. So Merck recently started KEYNOTE-598 which is a 550 patient trial of pembro first Yervoy and people with PD-L1 positive or 50% non-small cell lung cancer. How that you see that playing a role in kind of the competitive landscape and regulatory discussions?
Garo Armen: Based on public information, the maturity date for that trial is longer than ours. So, it will be contingent on how quickly they enroll versus how quickly we enroll. But with our assumptions and their assumptions, their maturity date will be somewhat later than our maturity date.
Matt Phipps: Okay. Thanks. And then lastly, Merck also just got a priority review for single agent KEYTRUDA in advanced cervical cancer. Have you guys changed your development plans at all there for wholly-owned combination and what's the plan there? I know that was kind of one of the target indication for rapid development.
Garo Armen: So one, let me start, and Jen will elaborate more if she like. So clearly, we believe that combinations in cervical cancer will exceed by some margin, the efficacy of a single-agent. And that's one of the reasons we've chosen the indication and we've chosen the combination strategy. So, that's key to our assumptions. And should that happen, then, we will have an important competitive advantage. Jen?
Jennifer Buell: That's right. And actually we were excited to see this validation of PD-1 in second line cervical cancer. Again this is one of those tumors largely HCV induced, cervical cancer is more than 90% of cases. And what we know with those tumors of course is that you generally have higher mutational burden, you have higher response rate. We know that their response rate to PD-1, but very similar indications, HCV-induced tumors and otherwise we see where PD-1 is active, the addition of CTLA-4 increases the response and the durability of response. So we believe that this only validates our strategy and gives us an opportunity that may help to accelerate our programs.
Garo Armen: So with that, we have some time constraints. Unfortunately, we need to end the call. And so, I will ask the operator to wrap up. And if you have any other questions, please contact us separately. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.